Operator: Good day, ladies and gentlemen, and welcome to the Volkswagen AG 2014 First 6 Months Results Live Audio Webcast and Conference Call. For your information, today's conference is being recorded. At this time, I would now like to note conference over to Christine Ritz, Head of Group Investor Relations for Volkswagen AG. Please go ahead.
Christine Ritz: Ladies and gentlemen, welcome to Volkswagen's conference call on the results for the period January to June 2014, based on the half yearly report we published this morning. Joining me on today's conference call are Hans Dieter Pötsch, member of the Board of Management for Volkswagen AG, responsible for Finance and controlling; and the member of the board of management Volkswagen AG responsible for group sales and marketing, Christian Klingler. Today's webcast can be viewed via our website at www.volkswagenag.com/ir, where you will also find the charts available to download. After the presentations, we will take questions first from analysts and later from journalists. Let me now pass it over to Mr. Pötsch.
Hans Dieter Pötsch: Yes. Thank you, and a warm welcome from my side to those of you joining this call. For the first half of 2014, sales increased in Europe and we experienced strong growth in China, which in total, balanced out a sharp reduction in South America and some weakness in our performance in North America. In summary, a broadly similar picture to that, I reported to you for the first quarter on our last call. Our financial performance naturally reflects this tough global dynamic, with flat sales revenue, while both our operating profit and operating margin increased, supported by our Chinese joint ventures in particular, profit before tax grew more robustly. And automotive net liquidity at the end of June remained on a solid level. In summary, despite the difficult economic framework conditions, we remained fully on track, both with regards to our earnings guidance for 2014, as well as looking further out to 2018. And here, allow me to just emphasize that our 2018 targets refer, among others, to a sustainable earnings of at least 8% profit before tax, with the explicit assumption that each brand contributes through the achievement of its own target profit. We will discuss the financial results in detail in a few moments after Mr. Klinger has taken you through the market context and our sales performance in particular.
Christian Klingler: Ladies and gentlemen, I would also like to extend a warm welcome to this conference call will, and present first half year sales results for 2014. The following overview shows the development of the worldwide car market and group deliveries to customers of our passenger car brands in comparison to the previous year. The global car market maintained its growth [ph] path the second quarter of this year, pushed primarily by Western Europe, by China and the United States. Nevertheless, the world car market was affected by unfavorable developments in some regions. The continuing economic instability in several emerging markets such as Brazil, Argentina, South Africa, Turkey and Russia depressed worldwide growth in the first 6 months of 2014. On the one hand, political turbulences in some markets caused increased uncertainty and considerably purchasing restraints. On the other hand, volatile foreign exchange rates led to increasing prices in the other mentioned emerging markets. We have already taken actions to step-by-step recover the currency losses through higher prices. These efforts will be more evident as we approach the end of the year. The Volkswagen Group, once again, succeeded in maintaining its dynamic development in the first half, representing an increase in deliveries compared to the previous year of 6.4%. However, the challenges in various world markets persist. Now let us take a closer look at the car market developments across the regions compared with the performance of the Volkswagen Group for passenger vehicles. The Volkswagen Group again, outperformed to overall car market in the first half of 2014. However, the overall growth is marked by different regional developments. The weakness in the South American economy caused by the reduction in credit availability and substantial price increases continued to negatively impact the market over the last 6 months, especially in Brazil and Argentina. In addition to these adverse effects, the still rising competitive pressure leads to continuing tense markets. The Volkswagen Group could not escape the difficult environment. Despite these tough conditions, we made positive waves in the Brazilian market by launching the localized Volkswagen app and deferred expansion of our premium portfolio. In North America, in particular of the United States, the market growth for the first half year of 2014 was mainly driven by segments such as Pickup and SUVs. Some of our models like Volkswagen Jetta and Volkswagen Golf are currently in changeover. And with renewed products, as well as further localized models, we want to better withstand the current headwinds. In order to set the course for future developments in North America, we recently announced the local production of the upcoming Volkswagen mid-sized SUV in our Chattanooga plant. In central and the Eastern Europe, the Volkswagen Group increased its sales volume in the first half year of 2014, despite the adverse market situation. Especially the conflict in Ukraine and Russia's weak economy weight heavily on market results. However, the resulting decline in deliveries in Russia was compensated by strong sales in the Czech Republic and Poland. In Western Europe, in particularly in Italy and Spain, the economy continued to recover gradually in the first half of this year. Nevertheless, challenges still exist in some parts of this region. Against this background, the Volkswagen Group expanded its leading position in this important region, which is one of the main pillars of our successful development. Driven by strong demand in Germany and Great Britain, we outperformed the total market in Western Europe. The strong sales performance during the first 6 months of 2014 was achieved in Asia Pacific region. Once again, China continued to be an important global growth driver, with a double-digit increase in comparison to the previous year. The next chart shows the year-to-date performance of each brand of the Volkswagen Group in the passenger car market. For the first time ever, the Volkswagen Group, including our passenger cars and commercial vehicle brands, delivered over 5 million units in the first 6 months of the year. Out of our passenger car brands, Volkswagen, Audi, ŠKODA, Porsche and Bentley achieved the best first half year sales results in the company's history. The Volkswagen passenger car brand delivered worldwide more than 3 million vehicles to customers within the first 6 months, resulting from positive sales development, particularly in Western Europe and China. Volkswagen Golf family made an essential contribution to this result. Audi's sales year-to-date increased 11.4% to 869,000 vehicles. The strong demand in Germany, Great Britain, China and the United States were supported above all by the new A3 family and Audi's sport utility vehicles. ŠKODA reported for the first 6 months more than a 500,000 deliveries to customers, a 12.5% improvement over the same period of the previous year. This growth was mainly generated by high-demand countries like Great Britain, Germany, the Czech Republic, Poland and China. The ŠKODA brand succeeded with its new models such as the Octavia and Rapid Spaceback. SEAT deliveries rose by almost 10% compared with the first half of 2013, due to positive development in Spain, Germany and Great Britain. Part of this volume increase is attributed to the new SEAT Leon family and in particular, the Estate [ph] version. Deliveries to customers of Porsche, grew nearly 8% year-on-year to over 88,000 units. This resulted from a strong performance in Germany, Great Britain, China, as well as the United States. The newly launched Porsche Macan has already made a remarkable appearance in the sales figures. Bentley sales volume is up in the first half of 2014 by around 23% to more than 5,000 units, driven in particular by high demand for the new Bentley Flying Spur. The positive development was also supported by high sales in China and in the United States. Now let me turn to the commercial vehicle brands of the Volkswagen Group. Volkswagen Commercial Vehicles delivered in the first 6 months 218,000 units. That is slightly below the previous year's sales results. This primarily resulted from a continued weak investment climate and economic situation in markets such as Russia, Turkey and Brazil. Nevertheless, deliveries to customers in Western Europe showed growth within the first half year. The global truck market above 6 tons in the first half of 2014 was on the previous year's level, but still remains difficult. Especially, Russia and the South American region declined by 11% and 18%, respectively, in comparison with the previous year. MAN delivered during the first half year around 58,000 vehicles worldwide, a decrease versus the previous year. Apart from the highly competitive environment, in particular sales for trucks and buses in South America led to these results. In other regions such as Africa, MAN increased the numbers of vehicles delivered compared to the prior year. In the first half of 2014, Scania recorded slightly higher deliveries to customers compared to the previous year and delivered more than 38,000 units. The markets of Germany, Spain and Italy contributed positively to this performance. However, the negative market development in emerging markets like Brazil and Russia also left their marks. MAN and Scania order bookings for trucks in the first half of 2014 are overall on the same level as previous year. Order intakes for Europe improved, while South America showed a decrease. Underlying revenue in power engineering by MAN declined by 11% and came in at $1.6 billion. Let me now introduce to you a few model highlights which will support our sales performance in the coming months. With the newly developed Golf Sportsvan, Volkswagen targets new customers. This model offers a sporty design combined with great everyday usability and a touch of premium feeling. The Golf Sportsvan is compact for easy handling in the cities, offers clever features, as well as highly innovative assistance systems, all in a package that provides interior roominess and versatility that the family needs. The Volkswagen Golf Sportsvan was launched in the market in the second quarter of 2014. The A3 Sportback e-tron is the latest generation plug-in hybrid car by Audi. This premium compact vehicle combines sporty power with impressive efficiency and unrestricted everyday utility. The A3 Sportback e-tron comes complete with all the brand's strength: elegant design, a sporty chassis, top-notch ergonomics, excellent build quality and an extensive choice of high-end assistance and entertainment systems. The Audi A3 Sportback e-tron can be ordered from August. The ŠKODA Rapid Spaceback, localized for the Chinese market, is a practical and versatile compact car with a sporty look. True to brand values, this model offers lots of space, low fuel consumption and excellent value for money. Balancing its first hatchback within the compact segment, ŠKODA attracts new customers and strengthens its position in this growing market. After the successful premiere at the Beijing Motor Show this year, the new ŠKODA Rapid Spaceback was introduced on the Chinese market soon afterwards. The all-new Huracan is the latest luxury super sportscar by Lamborghini and follows in the footsteps of the highly popular Gallardo. With its pure and absolute design, breathtaking dynamics and excellent quality, Huracan delivers a unique sports car experience. This new model impresses with an exceptionally high level of standard features, high-end technologies and the host of individualization options. The Huracan went on sale in the second quarter of 2014.
Christine Ritz: Thank you, Mr. Klinger. Now let's turn back to Mr. Pötsch for look at our financial performance in more detail. Mr. Pötsch.
Hans Dieter Pötsch: Thank you. Let's now take a look at our group performance and then move on to the divisions and brands. For the first 6 months of 2014, revenue for the Volkswagen Group was flat at EUR 99 billion, as the strength of the euro and weak non-European markets ex-China, held our performance back. If we exclude the exchange rate headwind, revenue would have been up by over 3%. And here, of course, you have to always remember that the strong growth of sales in China has only a limited impact on the revenue line through imports and parts sales, as the majority of sales are included through the equity accounting within our financial result. Operating profit for the group improved to EUR 6.2 billion, benefiting from the continued rollout of new models, as well as positive mix effects. The operating margin improved to 6.3%. Our Chinese joint ventures, which make up the bulk of the equity accounted investments, continued to perform very positively, recording a proportionate operating profit of EUR 2.6 billion, up 10.6%. After considering the related taxes and financing plus other investments, the equity accounted result improved by 16% to EUR 2.1 billion. The mark-to-market valuation of financial derivatives positively impacted the other financial result to record an improvement of EUR 450 million in this structurally negative position to a minus of EUR 550 million. Group profit before tax of EUR 7.8 billion equaled a 7.9% return on sales, which while optically close to our 8% goal was supported by the temporary valuations within the other financial results. Although in total, we are clearly continuing to move in the right direction. Earnings per share is a measure we know is used by many investors and analysts to capture the full overall earnings performance of the company. As opposed to focusing just on the operating result to measure captures our equity earnings from joint ventures, particularly from China, of course, while also reflecting the additional investments, we have asked shareholders to support in terms of either hybrid or preferred share issuance. The first half of 2014, earnings per share improved by close to 13% to EUR 11.33 per ordinary share, and EUR 11.39 per preferred share as shown in the chart. Now let's turn back to the group operating result performance for the first half. When comparing to the first half of 2013, it's important to recall that we had a slower start to last year and our performance, especially as more markets received the new Golf, picked up through the year. We were therefore able to report a slightly more marked improvement in the first quarter of 2014 against this weaker base. The trends in the second quarter followed on from the first 3 months, but at a more muted pace due to the improving base effect. For the first 6 months, the position volume mix price has continued to improve for a cumulative EUR 1 billion thus far this year. Even while the euro weakened a little in the second quarter versus some particularly hard to hedge emerging market currencies when comparing year-over-year for the first 6 months, the relative strength of the euro drove a negative EUR 0.8 billion exchange rate effect. Product costs were reduced by EUR 0.7 billion, benefiting in particular from increased volumes within models based on our toolkit strategy. Depreciation from the higher CapEx of recent years related to our new model program and to renewal of our production facilities, alongside higher R&D costs, especially those related to low CO2 and hybrid, as well as electric powertrains were a significant element behind the increase in fixed costs/startup costs by EUR 1 billion. Earnings in our commercial vehicles, Power Engineering division were up EUR 0.4 billion at EUR 514 million despite difficult market conditions. The financial Services Division lifted operating earnings to EUR 924 million. In total, operating profit for the first 6 months of 2014 came in at EUR 6.2 billion. A closer look at the financial performance of our main brand shows how the Volkswagen passenger car brand is being buffeted from a sharp deterioration in the economic framework conditions, while still being able to report a 2.1% margin and earnings of just over EUR 1 billion for the first 6 months of 2014. Despite benefiting from the rollout of the new Golf and stability in Western Europe, the steep reduction in emerging market volumes and to the impact from weakening currencies have created the significant challenge. This is happening at the same time as we have to prepare for the sharply lower emissions led by the 95 Grand Fleet average for the EU and similar programs around the world. And here, remember that the Volkswagen passenger car brand takes the lead role on behalf of the wider group, especially when we are talking about resources and costs. While the focus date is around 2020, the impact on the engineering pipeline is to date, as the cars and engines now in development will form the core of our sales offering in 5 to 6 years of time. As you are no doubt aware, we have initiated an efficiency program to get the Volkswagen Passenger Cars brand to reach at least a 6% operating margin before 2018. This will not be easy. Some tough decisions will be and are being taken based around 3 core elements. First, we are re-examining the cycle plan to reduce complexity and to strictly prioritize our future product. Secondly, we've sharpened our focus on costs for each functional area, with defined processes to ensure the financial targets are achieved. Thirdly, we have set up focused teams, led by members of the board for the U.S., South America, Russian and Indian markets to deliver a more sustainable business model. Our future tracks program built on our group's core strength of engineering excellence, innovation and sustainability. Earnings at ŠKODA increased significantly to EUR 425 million, as the product renewals of early 2013 drove deliveries. SEAT continued to improve. Audi booked a 10% margin for operating result of EUR 2.7 billion. With a margin of 17%, Porsche continued their success, posting operating earnings of EUR 1.4 billion, boosted by the success of the Macan. Bentley, too, booked a double-digit margin, increasing earnings by 2/3 to EUR 95 million. Scania's earnings grew to EUR 476 million, while MAN booked a profit of EUR 222 million even though both brands' results were weighed on by the sharp drop in the core South American markets. Volkswagen Commercial Vehicles, our Citivans brand, booked an improvement to EUR 280 million. Volkswagen Financial Services grew earnings to EUR 776 million, with contracts outstanding as at the end of June rising 7.4% on the year end 2013 level. Let me now turn to cash flow in the Automotive Division. Operating cash flow for the division was flat in comparison to the first half of 2013 at EUR 8.4 billion. Within this, driven by weaker overseas markets outside of China, working capital increased. While Western Europe remained broadly imbalanced, weaker markets and sales in other regions outside of China have led to rising inventories within both cars and trucks, which as we pass through the European summer production shutdown period, will be reduced over the remainder of the year. I reported at our last earnings call for the first quarter that we had booked a receivable of EUR 1.4 billion relating to a declared dividend not yet paid from one of our Chinese joint ventures. Further dividends for calendar year 2013 have now also been declared. The majority of the cash relating to the dividends has now been received and is included within the position cash flow from operating activities within the chart. The balance is expected to be received in the third quarter. Our CapEx ratio for the first 6 months was slightly below the prior year at 4.1%. At EUR 2.4 billion, capitalized R&D rose to 37% of the total R&D costs, reflecting our product development cycle, in particular as we intensified our focus on next-generation powertrain. The inclusion of Porsche was an additional driver to the higher trend versus historical capitalization ratios. In summary, net cash flow came in at a clear positive of EUR 2.9 billion, or EUR 2.5 billion if you exclude equity investments. In case you're wondering where the EUR 6.5 billion cash out relating to the tender offer for Scania shareholder lies, this is not part of the net cash flow and is reported further down the cash flow statement under capital transactions with noncontrolling interest shareholders, as Scania has for some time been fully consolidated. However, this is, of course, as you can see on this chart, a major influence with regard to the movement in the Automotive Division's net liquidity. As we explained when we announced the offer, this has been refinanced in part by both an issue of hybrid capital of EUR 3 billion in the first quarter and the issuance of new preferred shares in the second quarter to the tune of EUR 2 billion, which together comes to a rounded net cash inflow of EUR 4.9 billion. Within the first quarter, we used liquidity from the Automotive Division to make a capital increase to strengthen the equity within our Financial Services Division of EUR 2.3 billion. At the same time, we transferred MAN Financial Services from the Automotive Division to Financial Services. Net outflow from these 2 transactions was EUR 1.8 billion. Following the agreement of shareholders, we paid out our dividend during the last quarter for a total cash out of around EUR 1.9 billion. Adding back the EUR 2.5 billion net cash flow before equity investments brings you to Automotive Division net liquidity at the end of June of EUR 14 billion, ensuring a solid financial basis. Now let me conclude the presentation for today and turn to our outlook for 2014. We are expecting trends in the passenger car markets in the individual regions to continue to be mixed in 2014. Growth and global demand for new vehicles will probably be somewhat slower than in 2013. We anticipate a slight recovery in demand for cars in the Western Europe in contrast to the Central and Eastern European markets, coming in clearly below the prior year. While the upward trend in North America will probably weaken, the South American market is expected to be down significantly on the previous year. We expect that the Volkswagen Group will moderately increase deliveries to customers year-on-year in 2014 in a still challenging market environment. We expect 2014 sales revenue for the whole group and its business areas to move within a range of 3%, around the prior year figure. In terms of group operating profit, we are expecting an operating return on sales of between 5.5% and 6.5%. And the same range also applies to the passenger cars business area. The commercial vehicles Power Engineering business area is likely to moderately exceed the 2013 performance, while the operating return on sales in the Financial Services Division is expected to be between 8% and 9%. Disciplined cost and investment management and the continuous optimization of our processes remain integral elements of the Volkswagen Group's Strategy 2018.
Christine Ritz: Mr. Pötsch, thank you very much. We will now take questions from analysts. [Operator Instructions]
Operator: [Operator Instructions] We'll take our first question today from Michael Tyndall of Barclays.
Michael John Tyndall - Barclays Capital, Research Division: It's Mike Tyndall from Barclays. 2 questions as it happens. First, Mr. Pötsch, I guess, the question that everyone is going to wonder now is about the cost-cutting program. I wonder -- I realize it's probably early days, but I wonder if you could give us some feel for when we might get more details on the program. Perhaps if you could confirm the EUR 5 billion number that's been in the press and maybe also give us some idea on the phasing of those savings. I expect that it's probably very early days for that. And then the second question is just around acquisitions. I'm not going to be silly enough to ask you what you want to buy, but I wonder if you could talk about how you see your capacity in terms of both financial and management in the near term in terms of potentially doing something else, given that the market is obviously very focused on what you might be doing going forward.
Christine Ritz: Okay. Thank you very much, Mike, for your 2 questions. So the first question refers to our efficiency program, if we can give you some more details on the plan for savings and also in terms of the amount we want to achieve and if we can here disclose some further information. The second question refers actually to M&A, but also -- or actually to the capacity we have within the group in terms of management capacity, but also financial capacity. Thank you.
Hans Dieter Pötsch: Well, I think -- the questions, I think, fit very well together to the extent that there are no acquisition projects on the table. That gives management the opportunity to totally focus on improving the operating performance. And maybe a little word on the positioning of the program we were introducing where I -- without picking words, but it is much more than just a cost-cutting program. And essentially speaking, I mean, since sometime, we have been talking about the pretty volatile framework conditions. And I think, just in these days, we do experience that there's a lot of truth in this volatility, and what I think a number of journalists do quote as the new normal in terms of the fluctuations we do experience is something which is a very important parameter for management to adjust the company to this situation. And a little bit more specifically, you're talking about the automotive industry. I think it is important to recognize that going forward, there are significant risks beside these economical framework conditions, which is emerging market situations, currencies, interest rates going forward, market development, but there is also the regulatory issue. And it's very clear that from today's point of view, nobody can really say on whether the future customers for cars in years, let's say 2016, '17, '18, whether they would be prepared to significantly pay for a car which is offering lower CO2 emissions and what the amount would be they would be willing to pay. Would there be an incentive situation or do we have to calculate a situation where there is no incentive available and so on and so forth, a number of questions. Bottom line, this means it's creating a number of very significant uncertainties. And we simply think that it would not be responsible acting of the management if we would not address these issues, and that's actually the background of the program. And the program, again, is more talking about growth and efficiencies and productivities as to just simple cost-cutting exercise. If this was the case, probably it would be easy to give some examples already. But you certainly recognized, and I've made some points during my speech a minute ago, that we will have to deal with the future product planning in terms of the cycle plan, for example, and a number of other items also. I clearly can't confirm the EUR 5 billion target as a medium-term target. There will be some effects already coming in 2014 and to -- not to talk too long on this, it's very clear what we are executing now is total focus on operating performance. And that doesn't leave any room for acquisitions.
Operator: Our next question today comes from Horst Schneider from HSBC.
Horst Schneider - HSBC, Research Division: It's Horst from HSBC. I would have actually more than 2 questions, but I'll try to constrain myself to just 2 questions. I mean, first of all, I want to come back to the question that I had also, I think, at the last 2 conference calls and that is regarding the question how you see sequential developments now that we should expect for in terms of sales and earnings? I think, when we had the call end of February, you have said that H2 will be stronger than H1 in terms of sales and earnings. So I want to ask if you can confirm that and maybe now relative to February's outlook for you rather deteriorated, or is it in line with your expectations? I mean, clearly some markets like Brazil and Russia should be weaker than expected by you. And then the second question that I have is on this China price regulation and all these discussions that we had in the recent days. So what is your impression? I mean Audi has already announced that it has changed its pricing on spare parts. I want to know what is then the impact precisely on Audi going forward regarding profitabilities. So maybe you can make here some hints. And second, I want to know what is your view in general on this issue? I mean, when can we expect first final details from the Chinese government and [indiscernible] in general the profitability of premium carmakers in China?
Christine Ritz: Okay. Thank you, Horst. So you have 2 questions for us. The first one refers actually to our development which we expect in terms of sales and earnings in the second half of this year. How it does that look like also in comparison to the first half and if we also can describe a little bit our outlook for the markets, if they have noticed any changes in certain markets. The second question refers to the China topic, the issue with spare parts and pricing. And you are interested in hearing if there is any financial impact on Audi and if we can generally comment on that situation, what does that mean actually for the premium brands in China.
Christian Klingler: So maybe you allow me to answer first the second question. In terms of pricing and situation in China, it is clear that the spare parts business in China is still in the first phase and an early stage, if you want, of its development. And in general, the total revenues are still relatively small. It's true as well that localization measures are coming, and as a consequence, some economies of scale allow, vis-à-vis as a consequence, some of the prices for Audi spare parts in China. This has happened. This will very probably continue to happen as well. It's a situation which is not [ph] normal and which I would say has been seen over the several years and will continue to be seen over the next years as well. So we believe that in terms of prices for the spare parts, this one [ph] situation will continue on the one hand. On the other hand, we know as well that we have more and more localization measures which can help us then. I think your question were more concentrated on the spare parts. In general, in terms of price for cars in China, we see no further negative impact in the second quarter. So we see a pretty stable situation in China. We have still a strong demand, as you have seen as well on the results, which we have shown. By the way, this is pretty clearly true for both. That means premium and volume brands. And I would say so, it's very normal as well that China is changing, as you know, and that the high -- and highly competitive situation will continue to have an effect on the market conditions. Up to now with our very strong product strategy and I would say, so as well our sales strategy, we achieved what we believe decent results and keeping the price situation on a realistic positive level.
Horst Schneider - HSBC, Research Division: But when do you expect some news then from the government? I think, the government is still investigating the situation. So when can we expect the first half results basically from that analysis that the government is doing?
Christian Klingler: I think this is a question which you should ask the government and not to us.
Horst Schneider - HSBC, Research Division: Okay. But in your view, it's still more the spare parts business is affected and not the prices of imported vehicles?
Christian Klingler: Again, we cannot participate on speculations what the government thinks.
Hans Dieter Pötsch: Okay. I would like then to continue on with regard to the question concerning the second half of the year. And I already did confirm our outlook statement, which in essence says that we expect to achieve a group operating return of between 5.5% and 6.5%. That bandwidth, which is also published of course, shows already that we are considering a result higher than last year's possible which is, of course, our goal. Now one of the conditions, clearly, is that we see a stronger European passenger car market. Beyond this, I don't have to say that the economic situation in South America, including the most recent situation with regard to Argentina is, of course, more difficult. And also the Russian, Ukraine situation is of course something which we have to watch very closely. Nevertheless, I think there is a good basis in Europe and also China. It seems to continue to develop on a robust basis. On that note, we will see, of course, a more weaker third quarter, clearly reflecting the seasonally -- seasonal effects and then we should see a reasonable fourth quarter. And if this is all taken into consideration, we would not exclude the possibility to achieve in the second half an operating result in the range of our earnings from the more seasonally positive first half, which would then confirm our goal.
Operator: Our next question today comes from Fraser Hill of Bank of America.
Fraser Hill - BofA Merrill Lynch, Research Division: Fraser Hill from Bank of America. Just 2 questions. On the cost savings, I mean just to come at that from 2 sides of the equation, I think you confirmed the EUR 5 billion ambition. Can you talk about both that EUR 5 billion in the context of being a gross number or a net number? All else being equal, if the business was still the same size in 3, 5 years' time, would you expect to be seeing a net EUR 5 billion benefit? Or is this really just helping to offset future cost step-ups that are, of course, going to be a function of the business? Moving on from that, the Porsche margin was obviously somewhat weak in the second quarter. Can you just run us through some thoughts around that? I mean, I know you had the Macan launch. With that particular launch cost, were they going to fade away and we should see that margin move back towards the high teens range that it's been in? Or is this just more of a fact of -- the mix effect of the Macan?
Christine Ritz: Thank you, Fraser. You have 2 questions. First question refers to the EUR 5 billion in connection with our efficiency program. And you are interested in knowing if that is a gross or a net number, and if we can explain that a little bit in more detail. The second question refers to the performance of Porsche. As we have seen a weaker margin in the second quarter, you are interested in knowing the reason for that, if there's a connection to the Macan or -- and what is actually also our outlook for the full year. What's our level of returns do we expect in '14.
Hans Dieter Pötsch: So first of all on the program again, I think I should repeat this. Again, this is anything else than just a cost-cutting exercise. It has much more to do also on -- to work on the sales revenue side. And as we are talking about currency fluctuations, of course, my dear colleague, Klingler, sitting beside me, did already do a fantastic job in introducing countermeasures to tackle the currency fluctuations in the part of the emerging markets by price adjustments and the like. So this is a full scope program, and it will deliver EUR 5 billion. That's a net number in this respect. Of course what you should not do is just take kind of hypothetical basis of an assumed profit number for full-time passenger cars and then top it up by EUR 5 billion. That would not be the appropriate way to deal with this. On the Porsche side, I also -- other than just straight away answering the question, I need to give a bit more light to the situation Porsche is currently in. And this is, of course, on the one hand an extremely positive situation as there is high demand for the products. The company is absolutely moving in the right direction to maintain the targeted return ratio of more than 15%. On the other side, I think what really needs to be taken into consideration beside the effect with the introduction of the Macan, of course, significant ramp up costs, the costs needed to be digested. But I think looking at the past 3 or 4 years, the direction that the company was taking, more than just doubling in size, makes it very clear that the footprint of the company needs to be, let me say, reinvented. And this is, of course, something which is causing also a good portion of fixed costs as we are adjusting to be able to deal with an even higher volume in the future. And all these measures need to be digested. And just to be able to digest all these additional measures, infrastructures, people, whatever it is, and still be able to perform a profit number of that size, I think, tells a clear story that we're absolutely moving in the right direction with Porsche.
Fraser Hill - BofA Merrill Lynch, Research Division: Just to clarify on the first question on the net EUR 5 billion and you're saying don't take a margin at EUR 5 billion, I guess your point is you're also identifying perhaps other greater fixed cost challenges, emission challenges that are growing on the other side of the equation and that's why we're not necessarily going to just see EUR 5 billion added. Is that really what you're saying?
Hans Dieter Pötsch: Absolutely, it's clear. The program is, in terms of growth, targeting on a higher number. So as quite usually, you discount a certain part, which will not be made effective or is compensated, whatever it is. So the net number in this respect is EUR 5 billion. But net does not mean that all the volatile framework conditions also including the CO2 measures are also already netted in the EUR 5 billion.
Operator: Our next question today comes from Jose Asumendi of JPMorgan.
Jose M. Asumendi - JP Morgan Chase & Co, Research Division: Two items please. The first one, my question I guess for investors as well, is just in light of this slow European recovery, why has this efficiency plan not been implemented or thought about before? And we know that Mr. Winterkorm's contract is up for renewal, but what has been the internal wake-up call or catalyst within the firm to launch this efficiency plan? Should we expect a detailed update of the financial plan in September? And the second small item is simply in terms of the incremental fixed costs on a year-on-year basis on the profit bridge. What's the best way to think about it? Can we just take the same impact in the second half as what we have seen in the first half?
Christine Ritz: Okay. Thank you, Jose, for your 2 questions. The first one is actually referring to the efficiency program. Why have we started the said program now and if we do assume to give an update in September. And the second question refers to the EBIT bridge and the fixed costs, the increase in fixed costs, how will that look like if we compare the second half with the first half overall for the full year '14.
Hans Dieter Pötsch: So on the first question, I think the understanding should be that there were numerous little programs already up and running, and at the end of today, there are -- framework condition is changing. There are trends changing or trends becoming more weight which then does have a triggering effect also on the measures on CO2 for example. So one of the issues is clearly the customers are still showing up with an enormous preference for SUV cars. I don't have to say that's, of course, maybe positive for the profit side, not necessarily good for the CO2 side. Management took a clear decision to take all these pieces together to determine a potential risk for the company going forward, and as I said, we are much more targeting on effects coming in, in the years '16, '17, '18 rather than anything short term. Of course, we will turn all the stones, and in this respect, as I already said, there will be already some effects coming in at 2014. Then on the EBIT bridge, on that side, as we already said, we will have to see that R&D costs will continue to run on the high side. Also, depreciation coming in from development projects on the one side from, of course, CapEx programs executed also from that side, which means that the run rate will remain for the second half. As we said, we are confident that we can more or less compensate the additional fixed costs by the performance in the area of product cost savings.
Operator: Our next question now comes from Philip Watkins of Citibank.
Philip Watkins - Citigroup Inc, Research Division: It's Philip Watkins from Citi. I was wondering if I could just focus a bit on South America. One of your peers reported yesterday and they talked about, in many ways, suggesting they were the only major brand that was profitable there. I don't know if you will be prepared to comment on whether the VW brand is actually profitable in Latin America. And secondly, in terms of the second half, what visibility you actually have about demand? And what can you do to make that business more profitable? I understand the localization and it's probably tied up with the whole efficiency issue. But what else could you do to improve that business?
Christine Ritz: Okay. Thank you, Philip, for your 2 questions. The first question is actually how is the situation of the Volkswagen brand in South America, if we can add there a little bit color on the -- also on the financial side. And the second question is the visibility in the second half. I do assume that you refer to South America or do you mean in general?
Philip Watkins - Citigroup Inc, Research Division: No, in South America.
Christine Ritz: South America. Yes, okay. Then the visibility for the second half, how is there -- the demand we see at the moment? Okay, thank you.
Christian Klingler: So maybe let me, a little bit, give an overview how we see the situation actually and at least some scenarios what could happen. If you knew all the details, it would be perfect, but you have seen over the last 24 hours that some of the effects can come and cannot come, particularly in Argentina. So as you know, the first trigger was given by the Argentinian devaluation, which was about 20% of its currency in January. This has triggered as consequence to the majority of the other countries' devaluation, which was sometimes more, sometimes less high of the currency, and that is perspective. I don't think that I need to go into detail of Argentina, but it's definitely not a crisis which has started 4 months ago. So it's something which has been developed over years, and we don't know exactly how it goes further what will happen. So the first point is, yes, Argentina is still a question mark in terms of positive development in South America. If you go then to the Brazilian market and market demand, we see that even though the measures from the government has been set and continued to a lower level, market demand has fallen down and continues to fall down even stronger. So this is not -- this will not be development over a few months. It's a consequence of an economy downturn, increase of interests. There was as well some devaluation effects and of course, of pricing effects, which we have done by the way as well in Argentina as others might have. So we have, over the last month, put pricing measures into place, which are sometimes followed by the competitors, sometimes not. So as a consequence, we believe we are going for the most secure way in taking the risk as well to lose market shares. By the way, which is happening as well, but you can see in Argentina and others in Brazil. Are we very optimistic in Brazil? I would say so. As you know, there are elections in the end of the year. So a lot depends as well how elections will come to a conclusion. And from the economical point of view, we do not believe, at least for the next 6 months, that there is a very strong positive sign to be expected. If there were continuous pressure coming from Argentina, this will affect as well Brazil. So in general, the picture what I would like to draw now coming from the demand side, is that we are not expecting, let's say, a vision, which is giving us a belief that we can be very optimistic. We see more risks and we believe as well that it's pretty normal that people are hesitating to buy cars in a situation where the economical situation is sometimes unclear, where the interest rates are pretty high or very high and where the political situation as well is not as clear as it might be. For example as well in Argentina, elections will be held next year. So in general, prudency is a [indiscernible] which we think needs to be respected.
Hans Dieter Pötsch: A little add-on on the point what can we do or what is already on the way. It's the introduction of new products with a more favorable cost position, of course, also with some clear used based against competition. We introduced the new up! model in February already, and that's a process which we will continue on with. Nevertheless, we have to adapt the production capacities to demand. As Mr. Klingler mentioned, we heavily work in all the areas including the cost side. So we need to trim here and there. And then the big question is again when will the market come back. This clearly is only possible on the basis of more favorable framework conditions. A little word on the financial side. In Argentina, first of all, with all the difficulties to predict what's going to happen further on, but the situation did not catch us by surprise. So what we could do to prepare for is already done. Clearly, Argentina will have a negative impact on the group performance in 2014, but it's going to be somewhat limited, so nothing which rocks the boat. In Brazil, we were slightly in the red in the first 6 months and we will fight to move to a breakeven situation for the full year. We will have to see whether this is possible on the basis of the new challenges, as Mr. Klingler said. Also coming in from Argentina, that's clearly an uphill battle.
Operator: Our next question now comes from Stuart Pearson of Exane BNP.
Stuart Pearson - Exane BNP Paribas, Research Division: Stuart Pearson. So 2 questions. I mean firstly shorter-term, just looking at the volume price mix in the second quarter, it looks pretty low given the volume move in that quarter year-on-year. So I was wondering if you could talk a little bit perhaps about the mix dynamics in the quarter; maybe pricing as well, just what's gone on there, whether that's the runout, the Passat and what we can expect in the second half is the shorter term question. And then the second question, just coming back to this efficiency program, just trying to understand exactly what's going on there because it -- I mean, it sounds like it's a fixed cost issue in the company that you're talking about. Yet I haven't heard you mention it doesn't seem to be part of the plan to address or reduce the EUR 82 billion CapEx program. Is that essentially protected? Or could we start to see you scale back that planned divestment budget?
Christine Ritz: Okay. Thank you, Stuart. So the first question refers to volume price mix as we have seen a slightly weaker second quarter, and you ask for some more details on mix and pricing, also what do we expect for the second half, which impact could have the runout of the Passat or the start of the new Passat. And the second question refers to our efficiency program. You are interested in now what do we do or do we also work on the fixed cost side, is the CapEx program affected and so on.
Christian Klingler: So if you agree, I would like to make a short overview about the price situation in general and then we go a little bit into some effect. As I mentioned before, starting in China, pricing was pretty stable. You don't see it in operation results because it's a little bit lower in the panel. In terms of pricing in Europe, we have seen a market which has grown in some regions. We see as well some, let's say, effects on the positive side. We see some effects on the negative side. But frankly to say, the pricing situation in general 2014 is pretty stable. So we don't see any positive or negative effects and we keep on growing our price premiums and, let's say, on a satisfactory base. North America, in general, there are some effects in pricing pressure, particularly in the United States. So we see subprime is coming back, which is always the first signs of an overheating of a market. So there are effects and [indiscernible] the market has increased so that is definitely like this. And of course, you can imagine that in South America, the pricing situation is different whenever markets which are going down by 20%, 30%, 40%, the pressure, it's pretty strong. But as we mentioned as well before in South America, we have priced, and we continue to price even though we lose market share. Remember the Passat has -- is working or has worked in the second quarter pretty well. So we are pretty satisfied. I hope you have seen the new car. It's a wonderful car. It has got a reaction from the press which is uniquely between positive and optimistic, and we are longing forward that the car will bring us to success and we're more than convinced that it will do so as the customer reaction which we have tested is as well very, very nice. So I think what you expected in the second quarter is maybe a high effect than this EUR 200 million on the bridge. Without going into the detail, what has been explained before by Mr. Potsch particularly and essentially the difference is a base effect coming from a pretty low level of 2013 in the first quarter coming to a pretty strong level in the 2013 in the second quarter not only by this growth given by the full availability of the gulf of the countries. So you have here an effect which is helping here and to explain a big part of the differences. So then back to the efficiency program. As you are asking for potential impacts on the CapEx side, whatever you would ask me here, I cannot -- always -- only say we will turn any stone and I concretely made the point that we're going to reexamine the cycle plan, for example, to reduce complexity. So this means clearly that we will be able to execute our product portfolio going forward with a lower level of CapEx. Yes, of course, that's all part of this. It's only -- to say this again, that we fully will cover all the various functions of the company. We'll turn the stones, but we also want to do this with the idea to create sustainable processes, not just something which works for a number of months and then the costs pop up again. We want to do this on a sustainable basis.
Christine Ritz: Next question please.
Operator: We'll move to our next question from Charles Winston of Redburn Partners.
Charles Winston - Redburn Partners LLP, Research Division: First one, just a quick one, point of clarification. At the last call, I'm pretty certain I recall that you said that you hoped that the product cost savings would probably exceed the fixed cost inflation in the year. And my understanding from your recent comment is that that's slightly changed. You're now talking about one matching the other. Can I just get you confirm that point please? And secondly, could I just ask what your expected impact from FX is in the second half given the hedging positions that you've clearly got a pretty good idea about, but unfortunately we don't have that much insight.
Christine Ritz: Charles, thank you for your 2 questions. The first question refers to our 2 columns, product cost savings versus fixed cost increase, how will that look like for the full year. And the second question refers to the impact of currencies in the second half given the hedging position, what do we expect there for the second half of this year.
Hans Dieter Pötsch: So on the first question, first of all, I think the understanding should be that in both areas on the fixed cost side, the swing factor and also on the product cost saving side, there is some gray zone as we, from today's point-of-view, cannot, to the last digit, say what will be the net effect coming in. So it could be slightly less, it could be slightly more, it could be precisely it. But in essence, I think we clearly say there will be a compensation of the fixed cost movement by what we will see coming in on a product cost saving side. On the FX side, I think there is a chance that the negative swing factor, it will be negative also in the second half, but might be less pronounced than what we saw in the first half.
Charles Winston - Redburn Partners LLP, Research Division: So just to follow on. Any chance you could perhaps quantify that a little bit more than -- in other words versus the 800? Any chance it can be a little bit more exact than less than?
Hans Dieter Pötsch: It could be less by a 3-digit number.
Christine Ritz: Okay. Thank you. [Operator Instructions]
Operator: Our next question now comes from Mike Dean of Credit Suisse.
Michael Dean - Crédit Suisse AG, Research Division: It's Mike Dean from Credit Suisse here. Earlier, you were very clear that there's no room for acquisitions. But it would be good if you could maybe give us your time horizon on this statement.
Christine Ritz: Okay. Thank you, Mike, for your question referring to M&A activities. You want to have more -- better understanding of the timeline when we do such a statement.
Hans Dieter Pötsch: I can only say at this point, but I cannot commit to a term like forever. But it clearly -- I think I gave some reason that management focus is completely on improving the bottom line, on efficiency, on reducing complexity and the like, which is part of the big program. You also are well aware that it's not only the folks on passenger cars, it's almost every brand, every region executing programs in a tailored way, which is suitable to the position of the region and the brand. So I think it will be a decent amount of time necessary to get this all running and working, and that's why I can say this again, there is nothing on the table right now with the exception that's what I need to say of what you know that's on the MAN side. We are committed, of course, with the offer we made into the outstanding shareholders in connection with the profit transfer agreement, and secondly you're well aware about discussions we are holding with our Chinese partners of FAW on an extension of the joint venture agreement, which could also include the point that we would increase our stake in FAW VW. That's it.
Operator: Our next question now comes from Daniel Schwarz of Commerzbank.
Daniel Schwarz - Commerzbank AG, Research Division: I just had one follow-up question regarding the weaker Q3. Could you say how was the production rates compared on a year-over-year basis and whether weaker Q3 sequentially also applies to trucks or only to cars?
Christine Ritz: Okay. Thank you for your question. It refers to the third quarter and the production. We will see there also on the truck side, but also on the passenger cars side if we can give you some details on our breaks, summer break, we will -- we have to expect in the third quarter.
Hans Dieter Pötsch: Well without going into too much detail here, what we can say is that we have -- of course, the summer break almost everywhere, this is very well necessary to all the preventative maintenance for example or a depth of production equipment for new products and the like. We will have extensively special shifts organized in German, other European and Chinese locations just to continue to produce and to be able to fulfill demand. That's the situation.
Michael Dean - Crédit Suisse AG, Research Division: Is it more on a year-over-year basis or basically the same?
Hans Dieter Pötsch: I think if we compare production in the third quarter, it should be more than in 2013.
Operator: Our next question now comes from Adam Hull of Berenberg.
Adam Hull - Berenberg, Research Division: Left with the one question. On the MQB side and the production cost savings, obviously the VW brand, I'm trying to dig down a bit deeper there. You've got a lot of issues in South America, et cetera. But could you really help us on the timing and the effect of the Passat and how that feeds through on your product cost savings within the VW brand specifically? Do we really get the benefits into Q3 when you start selling the cars out through to dealers? Or is it really into Q4 and into next year?
Christine Ritz: Okay, Adam. Thank you for your question. You are interested in MQB effects related to the start of the -- or the launch of the new Passat, if we see positive effects coming through in the third quarter or if that with be later the year with the start of the production. Thanks.
Hans Dieter Pötsch: So with regard to the Passat, I think we first of all should say that the initial market reaction was superlative. It was really fantastic for us. There is lot of hope on another extremely successful introduction of a new model on the basis of MQB. But in terms of timing, I think it's important to understand that we will ramp production towards the end of the year, which of course, goes in line with ramp-up costs and the merits of all the exercise will only come in 2015.
Operator: We'll take our next question now from Frank Biller of LBBW.
Frank Biller - Landesbank Baden-Wurttemberg, Research Division: Frank Biller from LBBW. A question on the financial result in the second quarter. So here, we have seen a very positive development coming from valuation of the derivatives financial instruments. Can you give us a clue what is behind this very positive development? What is the underlying on these instruments? And what are you expecting for the second half year?
Christine Ritz: Okay. Thank you, Frank, for your question referring to the financial result where we have seen a positive development in the second quarter, you want to understand better what is behind that development, which are the factors there and what is the guidance then for the second half this year.
Hans Dieter Pötsch: So maybe we should get started saying that first of all, the increase of the overall financial result is mainly due to a higher income from our equity account investments. And then, as you rightly say, there -- and we also indicated this, there is an increase in the valuation of the hedging derivatives compared with the first half of 2013. Now, the background besides the natural effect of interest rate or currency movements is to some extent that we, of course, are or were -- or still are provisioned for the acquisition of the outstanding shares of MAN and also the Scania. On the Scania side for example, there was a favorable movement of the Swedish currency, the Swedish kroner, which gave us then a positive effect as the payout for all the outstanding shares after the conclusion of the squeeze out, which is currently running in Sweden, will be only in rough numbers at around EUR 6.6 billion, different from the formerly calculated EUR 6.7 billion. And then there is another element which is more interest-rate linked. As the base rate moved down again and we have the legal situation, that we have to pay interest to the outstanding shareholders of MAN. On that basis, it also meant that our commitment in terms of interest-rate related payouts had to be reduced. So let's say these 2 special effects having an impact of a very low 3-digit number, roughly -- EUR 100 million roughly. Anything else is strictly related to currency and interest rate movements.
Operator: Our next question now comes from Philippe Houchois of UBS.
Philippe Houchois - UBS Investment Bank, Research Division: It's Philippe Houchois, UBS. Mr. Potsch, I think I heard you right in the beginning saying that Volkswagen has -- the brand itself has taken the lead over time in developing future technology for the group, and has therefore potentially borne a disproportionate share of the cost of this. Am I understanding it right that you potentially will be looking at reallocation of some of these costs to make sure that the other divisions would carry their fair burden? And in that context, is it fair to assume that the EUR 5 billion cost reduction you quantify in -- and would be a mixture of reductions recorded at a group level, but some of it might benefit the Volkswagen brand in the form of being reallocated to other brands within the group? Is that a fair assessment?
Christine Ritz: Okay. Thank you, Philippe for your question. With regard to the efficiency program, you're interested if these measures mean that we will reallocate the costs, for example, in developing new technologies and the one to other brands. Or to be more precise, does it mean that the EUR 5 billion target is relevant at a group level or does that actually refers to the Volkswagen brand.
Hans Dieter Pötsch: So first of all, the clear answer would be, no. And the reason behind is that we did make the comment because in times as we are in today, where the development activity in Volkswagen passenger car brand with regards to develop new technologies, very innovative technologies, which then at some point in time if a certain milestone is met, is then made available for other brands also. This activity is running on a very high level. Quite normally, as we start allocating to other brands only at a certain milestone, there is a certain wave of costs, which first of all have to be carried by Volkswagen passenger car brand. So that's why we made this comment because there's also some impact existent in the first half of 2014. So now we're stuck with this thought, and I can say very clearly, if we jump back to the program and the EUR 5 billion, as I already said, is a net number effective at Volkswagen Passenger Cars and there is no intention to reflect only little parts of this by allocation issues. I think that will be something that will be very wrongly advised if these kinds of effects would have been taken into the program.
Operator: Our next question now comes from Georges Dieng of Natixis.
Georges Dieng - Natixis Bleichroeder LLC, Research Division: I would like to discuss maybe the situation in North America more broadly in terms of both the performance of the VW brand until you get the midsize SUVs and also the performance, the financial performance. Should we say that the recovery in North America has been delayed? And what role will the introduction of the unions, for instance, at Chattanooga -- what role could it play in the process of recovering the earnings? And I think you've set a 5% medium target, I think, for the North American operation. Are you still on target? Or could it happen later than initially expected?
Christine Ritz: Okay. Thank you, George, for your question. You are interested in the performance in North America for the Volkswagen passenger car brand, if we can give you some further information, which development do we expect in the future and which role also play the unions there and if we confirm the target for 5% for -- return on sales for our automotive business.
Christian Klingler: If we start with the market, particularly, I would say, it's the United States. The growth of the market in the first 6 months is essentially due to the growth in SUV, some pickups. We are relatively low present in terms of SUVs as our localized products, particularly sedans in both -- in the segment of the Jetta and the Passat and if you want so, which is of course not a sedan, the Beetle. So the growth is happening in segments where we are not at the same level present. I think that's a first remark. The second remark is that the general development of the Volkswagen brand over the last 3, 4 years was more than doubling the volumes. And it's pretty normal that without having a huge additional product event, that a consolidation phase is coming up. We explained it as well already last time at the call that we do not expect in the United States over the next very few years a lot of change in terms of volumes. So it could well be that the volumes would oscillate something around the 400,000 cars, maybe 360,000, 380,000, 400,000 whatever it is. So this would be up to the next big event in terms of product, probably, number. Nevertheless, we're working very hard to reshuffle the strategy. But we've seen as well with the announcement of the midsized SUV, we take the next step in terms of volume, as well as in terms of a presence in the very important segment in the United States. Just for your information, this segment is one of the biggest ones. It's one of the top 5 segments in the U.S. and what we see as a reaction on the first presentation of our car, at least a show car, the reaction was very, very good. So basically, we expect that with the new models, we climbed up the hill and we continue to be focused to achieve our targets from our rating strategy of the 800,000. Will it be an easy challenge? The answer is certainly, no. We will have to -- we will continue to do everything what is needed and we need to adapt some of our orientations, which we have already, I think, been starting very thoroughly. So for the next few years up to the next big product event, we believe, clearly, the consolidation phase of a new product event will come -- we climbed up the hill to the next steps.
Georges Dieng - Natixis Bleichroeder LLC, Research Division: And what are the financial implications of this?
Hans Dieter Pötsch: If you give me a chance to also comment on this. As Mr. Klingler already said, the decision with regard to the big SUV was a very important one. There are more product decisions in the pipeline. And on that basis, we are confident to reach our 800,000 target towards 2018. And I also can confirm the 5% return target. In terms of your question with regard to the unions, we simply can only say, we don't see any connection between the existence of a union and the competitiveness of a company.
Christine Ritz: Now we take last question from a journalist.
Operator: Our final question today comes from Christophe Rowald [ph] of Bloomberg.
Unknown Analyst: The European Central bank and Germany's Bundesbank both have called for higher wages. What is your take on this, given that you're working hard on streamlining costs and increasing flexibility at the Volkswagen brand?
Christine Ritz: Okay, thank you for that question. You are interested in our opinion about higher wages for -- within our company.
Hans Dieter Pötsch: We have an agreement in place with France until 2015 so that's, short-term, not an issue for us.
Christine Ritz: Okay. Thank you very much. So we would like to come to an end. I would like to thank you very much for taking part in our conference. Enjoy the rest of the day and have a nice summer break. See you seen soon and hear you soon. Goodbye from here in Wolfsburg.
Operator: That will now conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.